Operator: Good afternoon, and welcome to Skyworks Solutions Second Quarter Fiscal Year 2021 Earnings Call. This call is being recorded. At this time, I will turn the call over to Mitch Haws, Investor Relations for Skyworks. Mr. Haws, please go ahead.
Mitch Haws: Thank you, Rob. Good afternoon, everyone, and welcome to Skyworks' second fiscal quarter 2021 conference call. With me today are Liam Griffin, our President and Chief Executive Officer; and Kris Sennesael, our Chief Financial Officer. Before we begin, I would like to remind everyone that our discussion will include statements relating to future results and expectations that are or maybe considered forward-looking statements. Please refer to our earnings press release and recent SEC filings, including our annual report on Form 10-K for information on certain risks that could cause actual outcomes to differ materially and adversely from any forward-looking statements made today. Additionally, the results and guidance we will discuss include non-GAAP financial measures, consistent with our past practice. Please refer to our press release within the Investor Relations section of our company website for a complete reconciliation to GAAP. With that, I'll turn the call to Liam.
Liam Griffin: Thanks, Mitch, and welcome everyone. Skyworks delivered another record quarter with strong year-over-year growth in revenue, margins and earnings per share for Q2. We continue to leverage our expansive technology reach and deep customer engagements, spanning both mobile and broad markets to capture the exploding demand for connectivity. And with our planned acquisition of the infrastructure and automotive business of Silicon Labs, we expect to accelerate that momentum further. Here are few highlights in the quarter. We delivered revenue of $1.17 billion, 53% percent above Q2 of last year. Our broad markets portfolio generated record revenue of $385 million, 67% growth over the same period last year. We posted a new Q2 record for earnings per share of $2.37, representing a year-over-year increase of 77% and demonstrating strong operating leverage. Importantly, we drove $616 million in operating cash flow, a new quarterly record for the company. Looking ahead, the technology bar has never been higher as billions of daily interactions move online spanning a growing set of used cases from remote work, virtual education, touchless commerce, cognitive audio, machine-to-machine communication, and autonomous transport. These advances rely on radical upgrades in speed, latency and reliability with comparable requirements for power efficiency and smaller form factors. For nearly two decades Skyworks has prepared for this opportunity, investing in innovative technologies, human capital and manufacturing infrastructure positioning us to capital on the secular global transition. Notably, our strong cash generation fortifies our ability to fund deep investments in technology, fabs and manufacturing, scale. Further our proven and flexible model is squarely aligned with the complex demands of our customers. Our demonstrated operational expertise allowed us to drive yet another strong quarter of design win execution. In mobile, we expanded the reach of our Sky5 portfolio across premium and mid-tier 5G smartphone launches at Samsung, Oppo, Vivo, Xiaomi and other leading OEMs. In the IoT space, we secured wins across a diverse set of customers, specifically we partnered with Netgear to deploy WiFi 6 and 6E routers, launch WiFi 6 gateways at Deutsche Telekom, Nokia and Altice, ship home security solutions to Xfinity, capture design wins with Google Nest, and we delivered low latency cognitive audio systems powering wireless gaming headsets at Microsoft and Sony. Moving to the industrial space; we delivered IoT modules to QuickTal and Gemalto, and in infrastructure we leveraged our wireless portfolio to deploy MIMO base stations with Nokia and Ericsson. And finally in automotive, we ramped Telematics and driver assist platforms with Volkswagen, LG and GM OnStar. Moving forward, we see a multi-year technologically - technology evolution with our aperture widening from smartphones, industrial to automotive to an expanding set of IoT devices. Today we support a global network that extends to over 20 billion interconnected devices spunning a new class of ecosystems from autonomous transport to smart cities and robotics. Skyworks is fueling this dramatic shift with our unique capabilities; integrating not only 5G but other critical protocols including high performance WiFi, Bluetooth and precision GPS. Finally Skyworks is well positioned to win with deep customer relationships established over 20 years, experience across multiple technology transitions, a technically seasoned and talented workforce, and an efficient cash flow engine that funds a pipeline of market-leading solutions while providing strong returns to our shareholders. With that, I will turn the call over to Kris for discussion of Q2 and our outlook for Q3.
Kris Sennesael: Thanks, Liam Skyworks posted another quarter of strong financial results delivering record Q2 revenue of $1.172 billion, exceeding the midpoint of our guidance. Total revenue grew 53% year-over-year based on early 5G adoption as well as strong demand for our broad market solutions. Mobile revenue grew 47% year-over-year, largely driven by widespread content increases as 5G phones are ramping across smartphone OEMs worldwide. Broad markets revenue grew further in Q2 to an all-time record of $385 million; this reflects revenue growth of 67% over Q2 of last year, benefiting from a diverse set of used cases, including the adoption of technologies such as WiFi 6 and 6E, 5G wireless infrastructure, and automotive along with the continued positive momentum in our audio solutions business. Gross profit in the quarter was $595 million resulting in a gross margin of 50.8%, up 60 basis points year-over-year. Operating expenses were $155 million or 13.2% of revenue demonstrating spending discipline while continuing our strategic investments to drive growth. We generated $440 million of operating income translating into an operating margin of 37.6%, a 510 basis points improvement over Q2 of last year. Other income was $1 million, and our effective tax rate was 10.5% resulting in net income of $395 million or a net income margin of 33.7%. Execution on both, gross and operating margins, drove record Q2 diluted earnings per share of $2.37 beating the guidance by $0.03 and an increase of 77% when compared to fiscal Q2 of 2020. Turning to the balance sheet and cash flow. Second fiscal quarter cash flow from operations was $616 million, a quarterly record for Skyworks. Capital expenditures were $141 million resulting in a record $475 million of free cash flow translating into a strong free cash flow margin of 41%. We paid $83 million in dividends, and given the recently announced acquisition of the infrastructure and automotive business of Silicon Labs, which we expect to close in the September quarter, we have temporarily suspended our share repurchase program. Now, let's move on to our outlook for Q3 of fiscal 2021. Based on robust demand for connectivity solutions in mobile and broad markets, we expect continued momentum and year-over-year growth in the June quarter. Specifically, in the third fiscal quarter of 2021, we anticipate revenue to be between $1.075 billion and $1.125 billion. We have non-GAAP diluted earnings per share of $2.13 at the midpoint of our revenue range; this translates into year-over-year revenue growth of 49% at the midpoint of the revenue range, and year-over-year non-GAAP diluted earnings per share growth of 70%. Gross margin is projected to be in the range of 50.25% to 50.75%. We expect operating expenses to be between $159 million and $161 million. Below the line we anticipate roughly $1.5 million in other income and a tax rate of approximately 10.5%. We expect, our diluted share count to be approximately $167 million shares. And with that, I'll turn the call back over to Liam.
Liam Griffin: Thanks, Kris. Skyworks is on track to deliver record results for fiscal 2021 clearly demonstrating the value of our technologies as we address an increasingly broader landscape of impactful customers and applications. Further the pending acquisition of the INA business fits squarely with our strategic priorities. To expand our market reach accelerate revenue diversification and drive industry leading profitability and cash flow. In parallel Skyworks is solidifying its global leadership, technology breadth and vast operational scale powering the connected experience in Mobile, Industrial, Automotive, Enterprise and other emerging application. That concludes our prepared remarks. Operator we can open the line to questions.
Operator: [Operator Instructions] And your first question comes from the line of Karl Ackerman from Cowen and Company. Your line is open.
Karl Ackerman: Thank you, gentlemen. If I could, one of your RF peers who report last evening spoke about new content wins across the Android supply chain with its integrated modem, and as a result, I think some investors have concluded what's good for them is perhaps bad for you in terms of your opportunity in certain areas of the RF supply chain. And so I know you're probably limited in discussing specific OEM wins, but I was hoping you could discuss your conviction in RF content gains across the mobile market that would be helpful as we think about your, the growth trajectory beyond the June quarter? Thank you.
Liam Griffin: Sure. Good question. Well, we are very bullish about our outlook in RF and other elements in our portfolio; you can see the results that we just reported a very, very strong, substantial double-digit returns and compares across the space. We have an incredible view going forward; we have a rich set of technologies that we continue to grow. We're expanding the aperture of the componentry that we put in, with these devices, we're leveraging our integrated solution Sky 5 that brings in filtering, bulk acoustic wave, core gallium arsenide and other elements to provide a turnkey solution for our customers and we've been doing this for years. This is not new. What is new is the outlook that we have and we start to see 5G really pick up the complexities in 5G and having a fill a full system solution. As we have at Skyworks to put our customers in place to win. So we feel really good about it. We always have competition there is no change there at all. But if you look at how we play and how we work with our customers and the technologies that we deliver in the ways that our customers want to consume it, it's a recipe that works.
Karl Ackerman: Appreciate that. If I may, in broad markets very, very strong results, although result is strong and the, also in the room is about sustainability and some SMEs across the supply chain. I've spoken about some modest inventory restocking at non-distribution channels addressing consumer electronics. And so, perhaps you could discuss your lead times here and what proactive measures you may be taking that could limit any double ordering for your WiFi [ph] solutions. Thank you.
Liam Griffin: Sure. We have a very close look at the pipeline and the supply chain. Of course. So one of the things that I'm sure you know about Skyworks is that we're vertically integrated. So we're building product in our own factory we're customizing in our own factory from filter to gallium arsenide to packaging and test all of that is done in-house. So there's two things that are, number one, it mitigates substantially mitigate some of the risks that we're seeing with the overall chip supply chain constraints there still some but we going to fare much better than others, but on the other end, we are very close to our customers and the channel, we try to keep that as lean as possible, so we get the real demand a natural demand and that's the way we want it. The diversity in broad markets though is a theme that we should think about here, because we really are expanding the aperture, it's multiple technologies, whether it's WiFi or WiFi 6 or Bluetooth or GPS. But then there is a broadening set of customers that have stepped up and joined the Skyworks design win team. So there's a lot of diversity within the broad market portfolio, but there's also a lot of technology differentiation that allows us to gain share and we're looking forward to continuing to put up above market results in that category.
Operator: Your next question comes from the line of Blayne Curtis from Barclays. Your line is open.
Blayne Curtis: Hey, good afternoon and thanks for taking my question. I just wanted to ask on gross margins. And then as part of that, if I know you are catching up in March after a very strong December, particularly one customer. So maybe related, but kind of two parts there just how are you in the process of catching up and if you just comment on the gross margin, it is down a bit in June obviously revenues are 50% been kind of 50 and change range for a while what's the drivers of the margin to be down in June?
Liam Griffin: Yes Blayne. I'll start with the gross margin question, first of all, I was pleased with our actual result at 58.8 in fiscal Q2 up 60 basis points on a year-over-year despite a somewhat challenging and tight supply chain environment, as you well aware. We are guiding here 50.5 at the midpoint for fiscal Q3, which is up 40 basis points year-over-year is slightly down from Q2 on slightly lower revenue as we are going into our slowest seasonal quarter of the year, but we do of course expect further gross margin improvement in the second half of the year as we start ramping as we usually do in the September and the December quarter.
Blayne Curtis: Thanks. And then maybe just the first part of the question just catching up on the customers if any additional color as to how you are in that process into June?
Liam Griffin: Yes, no, I mean this is an environment where there is very strong demand across the board and as we pointed out, you as well. We've done really well meeting that demand despite the tight supply environment. We control that through our own factories, we've been putting in a lot of capacity proactively because we knew that is big strong cycle with 50% year-over-year growth was coming towards us as we are moving into 5G and so we've been executing well we do buy some stuff from third parties and that's a little bit tight. But given the size and scale that Skyworks have and a strong team that we have, we've been executing pretty well there.
Operator: Your next question comes from the line of Chris Caso from Raymond James. Your line is open.
Chris Caso: Yes, thank you. Your first question is regard to the China OEM business, could you describe what's going on there. We heard MediaTek report earlier this week. It's a really strong first half their guidance seems to suggest some flattening out into the second half. How is that going for your business?
Liam Griffin: Sure, Chris. Well, obviously the off the China market is very important to the overall ecosystem and we are doing very well in that space, again players like Oppo, Vivo, Xiaomi and then MediaTek a whole another angle, which we've been working with MediaTek for years, a very strong baseband provider and we have unique technologies that wrap around their core baseband and we've been doing that for quite a while. So we still feel very good about China. It is lifted off first in the 5G landscape of course there's a tremendous amount of opportunity between now and the next four or five years and more as we populate and drive subscriptions in 5G but with the MediaTek side we gaining market share at MediaTek and their platform is getting stronger, it's more powerful, more potent and it is one of the leading platforms when we look at APAC and again populating some of these brands and also hitting some new markets as well. So the MediaTek relationship we have is outstanding. It's a technically driven relationship. We know the company, we've been working with them for years and those solutions often portfolio out and the Android ecosystem with the names that we mentioned the OVX et cetera. So we've got a very good handle on that and the other thing, Chris here is that these customers really like the fact that we grow our own technologies develop our own packaging and test can get very, very flexible, can integrate in a Sky5 solution that makes it very easy for them to go to market. So there are some unique elements in the Skyworks strategy that go beyond just kind of the parts. Right. So that's always been a key play for us and players like MediaTek that's an ideal solution for them.
Chris Caso: Thank you. As a follow up question is on OpEx and it's a moderately on a year-on-year basis, but obviously up a lot less than the revenue growth rate and not necessarily talking for the short term, but over the next couple of years, what's the plan and OpEx do you invest some of the cash flow that you're getting now from the substantially higher rate is this OpEx level that you're at right now sufficient enough to kind of drive the sort of growth that you guys want to see?
Kris Sennesael: Yes, Chris, I mean we've been talking about that a lot. We will continue to invest in our business and we are a technology leader. We want to continue to expand our reach into that very rich ecosystem and we are not hesitating down. So at the flip side, of course, we are very efficient in how we do it and what we do. Our total OpEx is running on or about 13% to revenue, that's an area zip code, where we want to keep it. Obviously, there are, if you look at it during the year. There are seasonal swings as the revenue goes up and down, but longer term, and that's somewhat like 13% to revenue, that's a good place to be.
Liam Griffin: Yes. And I'll just to add to that. Remember the leverage that we have in our business and we are a company that we're driving the broad market portfolio with big dollars in a mobile portfolio. So our business is very much focused on that execution and our design teams know how to develop products that have an incredible market reach. So that's the thesis behind that and certainly we're funding R&D to the level it needs to be funded. We know exactly where we're headed there and we're investing in aggressively technology investments in our fabs, in our packaging houses and really just the platform that we have in Sky5 as we move forward. So all that kind of we used together and you get leverage because these are really strong markets that have a pretty potent unit our curve on them as well. So it - part of the strategy is to really drive a solution that can then spin off derivatives, but still have that same core. So that's a unique element Skyworks and, as Kris said having your own fab, having your own manufacturing, assembly and test all of that under multiple groups, but our own makes a big difference for us.
Operator: Your next question comes from the line of Gary Mobley from Wells Fargo Securities. Your line is open.
Gary Mobley: Hey guys, thanks for taking my question. At a multi-part question to start out with. I think when you started the fiscal year, you had pretty optimistic view on your mobile related to revenue tied to the non-iOS community. And my question to you is, are you at a point in the year now that we're in somewhat of a law that you're able to service those Android Smartphone customers to the fourth extent or are you really are perhaps been over extended by you're trying to service your largest customer?
Liam Griffin: Yes, that's a great question and I'll tell you this, the Android ecosystem right now is really strong and we're putting up excellent numbers in that part of the part of the landscape. So there is no law, there were some supply chain hiccup here and there, but we're still executing to a very aggressive path. We've got the demand, we have the technology that's needed and we're doing that with, in parallel with great outcomes with our largest customer. So that's definitely moving in the right direction, and it's for the reasons we talked about, we have a great 5G multi-year. And I mean really multiyear opportunity here for us and others. And we have a technology curve that we talked about in the prepared remarks stuff is getting, this is really challenging stuff now and companies that have invested in R&D and invested in their fabs and work closely with their customers are going to be the winners. And we're going to be at the top of that list. So we feel really good about that and it's absolutely our mission to deliver across all the different segments and mobility.
Gary Mobley: I appreciate the color, Liam and as my follow-up. And I don't want to nitpick here, you guys have been producing is great results, but you had a higher mix of broad markets revenue in the March quarter. And I think it was pretty substantial mix upside for that particular business unit and so my question is why were you guys not able to deliver more upside to the gross margin, just given that higher than expected mix of broad markets?
Liam Griffin: Yes, so the broad market mix in the quarter came in line with expectations, so there was no surprise there. I mean, we did $22 million or better than what we guided, but that was somewhat across our full revenue portfolio. So there was no change there. And again, from a gross margin we were up 60 basis points year-over-year despite a challenging supply chain environment. There are some increased input costs that needs to be absorbed and despite all of that. We continue to demonstrate year-over-year gross margin improvements.
Operator: Your next question comes from the line of Ambrish Srivastava from BMO Capital Markets. Your line is open.
Ambrish Srivastava: Hi. Thank you, Kris. On the margin front, when should we expect the input cost increases that resulted due to COVID and then I have a follow-up after that?
Kris Sennesael: I mean there are already input costs. Right. This is not new. The tightness in the supply chain has been there now for several months and so it's there, of course, again we're working at really hard. We have long-term relationships with our suppliers, we have the size and scale there as well and again the team is working at really hard. And I think we'll definitely see some improvements there, going into the second half of the calendar year.
Ambrish Srivastava: Okay. And with respect to second half calendar year Liam, maybe a question for you. There is no such thing as normal seasonality but given everything that's going on the supply chain. What's the best way you could describe for us to in terms of expectations for the second half calendar year that we should expect versus what a normal seasonal year would be?
Kris Sennesael: Yes, sure. I mean we absolutely expect to grow in the second half. All there's a lot of opportunity out there is still very early in 5G. The broad market trend that we put out what really matters there, I can't show this to you in the conference call but if you saw the breadth of customers the breadth of customers. Number one, really, really stepped up and then the diversity of the technologies that those customers consumed was also a really incredible opportunity for us and to be realized. So that's the important thing. And then you go to the strength in mobility, which will come in the second half. We know what we've won, there were a lot of really difficult challenging opportunities that we've been able to win and that should be apparent here in the second half. So there is some stuff happening right now that we're not going to cover a couple of the ball off and broad markets while diversity with customers, diversity in the technologies we bring. And then in core mobility or the second half of the year, we think will be strong and we know what we want to, we know what we've consummated in the key designs and it's all good on that front.
Operator: Your next question comes from the line of Timothy Arcuri from UBS. Your line is open.
Timothy Arcuri: Hi, thanks a lot. Kris, I think your largest customer last quarter you said was 70% of revenue. Obviously, it was down this quarter, but can you give us a sense of maybe how large it was in March?
Kris Sennesael: The largest customer, it was approximately 50% of total revenue.
Timothy Arcuri: Okay, awesome. Thank you much. And then I guess a question on what's assumed in the mix for the June guidance typically broad markets is sort of, I mean there is not really that strong seasonality in broad markets but usually it's up about 10% sequentially in June is that about the right assumption for broad markets, and we can vet out mobile to get the mix review.
Kris Sennesael: Also on total company we guided June, down 6%. And so when you look at mobile and broad markets, broad markets is going to be flat to slightly down. And of course, on the flip side, you have the mobile business.
Timothy Arcuri: Yes. And you have a year-over-year number that is 60% year-over-year in Q3.
Kris Sennesael: All right. So total business is up 49% to 50% on or about and saw broad markets, there continues to do really well more than 50% closer to 60% on a year-over-year basis.
Operator: Your next question comes from the line of Harsh Kumar from Piper Sandler. Your line is open.
Harsh Kumar: Yes. Hey, guys. Sticking to that theme of broad markets. Could you maybe help us understand where that strength that you saw that incremental spend in broad markets where did it come from. I know you mentioned it was broad, there was a leaning towards any one particular technology or end market?
Liam Griffin: Yes, it was quite diverse harsh. But I would say unique strength and higher end WiFi, WiFi 6 and 6E a lot of connected home applications that we consummated. Wireless infrastructure has picked up a bit, Nokia and Ericsson we mentioned them in the prepared remarks and starting to do a little bit more with automotive as well. So it was a great quarter and broad markets, it's the type of output that we're capable of doing, consistently growing consistently, as I said earlier in the call, the diversity of the customers was really unique from our more and more companies that had not been customers of Skyworks are now customers of Skyworks and we love to see that and once we establish a beachhead with some of these players, we can do a lot more. So names you heard today names like Microsoft the names like Sony or names like GM and OnStar and moving into industrial markets. That's all coming together in the nice thing is it's using the kind of the needs, and we need the technology that we have and we have it ready for them. So, it's is in the case where we have to spin up something unique by and large, the technologies that we have now are ready to go. So we're able to deliver those solutions in WiFi, deliver those solutions in the cellular format whether it's 5G or otherwise. We have the technology protocols to address what the customers want, and we'll continue to do that. And I think some of the impacts that we've seen with the COVID crisis is that the ability to be flexible and adapt, and we've seen this usage case change where we have customers that were not interested in some of the things that we did or didn't have a need for, and now mobility and connectivity has become paramount in critical and essential and that's driving our business in ways that we really didn't anticipate. But we understand that deeply, and as we move forward, we're going to continue to develop those customers and bring the best technologies we can to each and every one of their own applications.
Harsh Kumar: Liam, I wanted to - that was very helpful by the way. I wanted to switch to mobile and ask a longer-term type question. Since as long as I've covered you guys for the entire 4G cycle, content increases were somewhere in the - call it 7% to 10% range, consistent and on that was always the case. How do you see that cadence for 5G? There is a lot more band, there is a lot of stuff going on, there is - different frequency is being added; Spectrum, C-Band, etcetera. Is that number a number that is likely to go - is - the content add number on a yearly basis; is that a number that's likely to creep up because of all that 5G brings?
Liam Griffin: Yes, absolutely, it's really necessary. So if you just think about at a high level, even the backward compatibility of the mobile function and you still have 4G running completely, and sometimes even 3G; so you have elements of 3G, then 4G, and then you have 5G. We're also extending the spectrum; more typically, if you looked at a 3G or 4G phone, you're somewhere between 700 meg to 1 gig. Now we go from 1 gig to 6 gig and even higher; so there is new spectrum in the 5G world, there is new challenges, there is new technologies that need to be brought to bear, and then the ability to integrate in a fungible assets to be delivering that as a complete system that our customers can assimilate that is really special. And we do that and that's back to the comments that Kris and I made about having our own technology, having our own factories, having unique packaging assembly and test to really customize a full solution. And the complexity is going up substantially, and the complexity is what drives the content gains.
Operator: Your next question comes from the line of Craig Hettenbach from Morgan Stanley. Your line is open.
Craig Hettenbach: Yes, thanks. Just going back to broad markets, I know for parts of that business you've been supply chain constrained. Are you catching up or there is still pockets in terms of where you're trying to kind of catch up to demand in broad markets?
Liam Griffin: Sure, Craig. That is one area that we are - we're getting there but there is still some catch-up work to be done. Broad market is more diverse, it's a set of customers that is 10 times broader than what we have in mobile; so to design specifically each one of those applications is a great opportunity we're pursuing, but there have been a few bumps in supply chain. As Kris mentioned, we are faring better than most because we do have our own fabs, we have our own assembly and test, we can control our destiny for the most part. But there is still are a few wrinkles in supply chain that are being ironed [ph] out, and it does have a slight headwind on GM and cost as you - there could be some lack of price reductions with some of our suppliers, there is logistics issues with Next Flight Out and things like that. So there is a couple of things that pop in that create a bit of a headwind, but the broad markets business will continue to move and I think we'll certainly see these supply chain hiccups get ironed out very quickly.
Craig Hettenbach: Got it. And then just as a follow-up Liam, any update on some of the bar design activity that you're seeing?
Liam Griffin: Yes, the bar designs are doing great. You could see in the current lineup of phones today across multiple customers. Our Sky5 solution is bringing in more and more bulk acoustic wave, there is also some bulk acoustic wave technologies in some of the WiFi engines that we have. And as we start to look out into the second half of the year, you should expect more content underpinned by our own organic fab systems as we move forward. So we feel really good about it, we've also made the investments in our fab technology to deliver that - to deliver those solutions, so there is lot of good work that's been done and we're going to be able to reap the rewards of that as we go forward into the second half and beyond.
Operator: Your next question comes from the line of Kevin Cassidy from Rosenblatt Securities. Your line is open.
Kevin Cassidy: Thank you. I was just wondering if you had some visibility into infrastructure deployments, maybe as you go out into the second half of the year? In particular, maybe the C-band. Is that deployments in the antennas coming in the second half?
Liam Griffin: Yes, that's a great question. Couple of things. So first of all, infrastructure had been lagging a bit in this whole mobility ecosystem and specifically in 5G. So as we mentioned in the call, we are starting to see more energy and rollouts with some of the key players in Europe; the Nokia's and the Ericsson specifically. We have great technology there with my MIMO solution, small cell solutions, a lot of the core recipes that we need in gallium arsenide and other places; so we feel really good about it. It's been slow but it's starting to pick up, and it's necessary as you move into 5G; it's necessary as we build out that spectrum. And then as you mentioned, the C-band option is great now because that money has been spent and the carriers want to deploy more and more - they basically want to leverage that technology as quickly as possible. So the infrastructure is going to pop up a little bit there, and it also could add content opportunities to core mobile device. So you have a two-pronged approach there with the infrastructure side and we have positions there. And then of course, when we look at C-band and unique spectrum there, there's going to be devices that will need to be navigating and populating that spectrum within the handset; so that's something that's starting - it's been happening but there is definitely lots of room to move on that end.
Kevin Cassidy: Okay, great. Thank you for that answer. And just your CapEx spending, can you say is there anything new in what you're spending it on or is it mostly just capacity expansion?
Kris Sennesael: Our CapEx, there is two main drivers there; of course, one is just expanding the capacity as the business is growing at 50% year-over-year right now, and so we definitely to support that. But in addition to that, there is a big part of the CapEx that is technology-related making the investments in our gallium arsenide power amplifier fabs, making the investments in our filter operation TC SAW [ph], and as Liam talked about the bulk acoustic wave, also in our backend operation with more complex higher performance packaging technologies. And so that is really driving a differentiated product offering, that's why we win in the marketplace but we have to support that, of course, we are putting up the CapEx dollars in our own fabs.
Operator: Your next question comes from the line of Harrison Barrett from Arete Research. Your line is open.
Harrison Barrett: Hi, thanks for taking my questions. Could we get some color on your share into the China OEMs? Is there an RF product area where you're seeing particular traction or are you tending to see a broad mix across your addressable content?
Liam Griffin: Yes. I mean the demands in APAC have been very solid, very strong and oftentimes, we have customers that were 3G, 4G and the lift into 5G is actually quite substantial. Some of the comments I just made with the last caller; there is unique technologies that are required in 5G that we're not in a 4G phone; so we're seeing a lot of that pickup. So beachheads with accounts were in that have been strong in 3G and 4G now need to augment and extend their content to be a player in 5G; so we're starting to see that happening, it's been building up. China has a long way to go to really match some of the premium brands that we see in in the US and some other countries, but there's a lot of opportunity to grow that technology and grow the business there. It's also a market that really does value connectivity and mobility, it's a core and essential element within that marketplace and in that region, and we differentiate with our ability to offer that complete Sky5 solution, and really remove some of the complexity that our customers may have when they're launching new technologies.
Harrison Barrett: Great. And then, sort of continuing on that theme. There was a lot of commentary about millimeter wave traction in Asia, I think China particularly, from one of your competitors yesterday. Do you have any updates on your millimeter wave roadmap?
Liam Griffin: Yes. We're working on millimeter wave but it is really kind of a narrow slice within the mobility architecture right now. So we've got some work to do on the infrastructure side but we know how to do that, and we've got some investments in the handheld side as well to augment; so we're continuing to drive that. But at the same time in the core RF, let's say 1 gig to 6 gig, the opportunities continue to move and the spectrum needed continues to be more and more complex, the C-Band option that was just mentioned is a big driver. And it's really - that's a technology that you take anywhere; the challenge with millimeter wave is that you have substantial current consumption needs, you have a physical size that is - there is a challenge in a mobile phone. And then you have point to point interference; so it's a technology that could have use in certain environments, walk going into stadiums or campus environments, unimpeded, of course. It works but if you look at what we can do in 5G to A with the solutions that we have today and the spectrum that we have today, it's incredible; the speed, the performance, the latency, and the ability to roam and expand that signal anywhere unimpeded. So it's going to be a challenge, but look at anything else, I mean there is layers in the cake, right. There is - you have your low-band, your mid-band, your high-band, you could have a unique spot at the top that delivers a millimeter wave cycle. So it's all there, we understand it. We know how to navigate through it and we know how to work with our customers to ensure that they get the best solution.
Operator: And your final question comes from the line of Raji Gill from Needham and Company. Your line is open. Again, Raji Gill, your line is open.
Raji Gill: Yes. Great, Chris. Thanks for taking my questions. I was wondering if you could discuss the linearity in the quarter. I think last quarter it started a little bit slower and then accelerated significantly. Wondering how that's shaped up this quarter. And wondering if you, if there is any signs of pull-ins during the quarter?
Liam Griffin: So let me first talk about the March quarter. The linearity was just perfect, it was evenly spread amongst the three months within the quarter and of course now in June, we are going through our slowest seasonal quarter. So somewhere in the middle of the quarter you hit the bottom and then you start ramping up, ramping up towards the second half of the calendar year where we're, again we're very bullish about the opportunity there to produce strong sequential growth into September and December.
Raji Gill: And Liam, you mentioned you're integrated modular approach particularly giving you an advantage. I'm wondering how you would characterize the RF content gains this year versus; say, last year, what kind of the first initial rollout of the 5G phones. Is this integrated modular approach providing kind of more tailwinds in terms of RF content, particularly in kind of the mid-range of the market in China. Any color there in terms of how you're leveraging the integrated approach to either a gain share or increase RF content? Thank you.
Liam Griffin: Yes, thank you. Great question. Yes, this is exactly why we developed our Sky5 solution. We know how hard it is to deliver a 5G socket with all the bells and whistles that can handle spectrum across the board. I'll handle the complexity of roaming the size constraints, the current consumption. It's really hard. So we spent a great deal of time creating a solution that makes it very easy for our customers to go to market. Although the hard work underneath within the Skyworks cover discovery module is not easy. So we have the ability to deliver the filtering technology that we use all the way from [indiscernible] to bulk acoustic wave. Our own customized gallium arsenide devices, unique assembly and test and packaging in house and wrapping that together with a lot of these players that really need that know how it's been a great, great opportunity. This is something that we have been thinking about and working on for a year. So this is a purpose-built solution. It is not something that we just turned on this year. This is something that we've been working on for quite a while but the higher the complexity that we see in the market in the handset. The better we do, and you'll see that across the board, you'll see that with launches this year, you'll see that with phones that are out there now and the complexity continues to rise. That drives content and the consumer demand for the technology around mobility just continues to grow. So it's a great market to be in, but there are a lot of problems to be solved and that's what really gets us excited and puts us in a position to outperform.
Operator: Ladies and gentlemen that concludes today's question-and-answer session. I'll now turn the call back over to Mr. Griffin for any closing comments.
Liam Griffin: Thank you all for participating on today's call. We look forward to talking to you at upcoming conferences, during the quarter. Thank you.
Operator: Ladies and gentlemen, that does conclude today's conference call. We thank you for your participation.